Operator: Good day and welcome to the Pyxis Tankers Conference Call to discuss the Financial Results for the Second Quarter 2020. As a reminder, today's call is being recorded. Additionally, a live webcast of today's conference call and an accompanying presentation is available on the Pyxis Tankers website, which is www.pyxistankers.com. Hosting the call today is Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers; and Henry Williams, Chief Financial Officer. I would now introduce Pyxis Tankers' Chief Executive Officer, Eddie Valentis. Please go ahead sir.
Eddie Valentis: Good afternoon, everyone, and thank you for joining our call for the three months results ended June 30, 2020. First of all, I hope you, your family, friends and colleagues are managing for the best during this pandemic. Secondly and before starting, please let me draw your attention to some important legal notifications on slide 2 that we recommend you read, including our presentation today, which will include forward-looking statements. Thank you. Turning to slide three, our results for the second quarter of 2020 reflected an improvement from an operating perspective over the comparable period of 2019 but for the impact of the sale of our oldest vessel, the non-eco 2006 built Pyxis Delta. In Q2 2020 we generated time charter equivalent revenues of 4.5 million almost 1 million lower than the same period in 2019 as we had one fewer tanker in our fleet due to the sale of our oldest vessel earlier in the year. We had net loss of $1.2 million $0.06 per share for the three months ended June 30, 2020, both improvements over the same period in the prior year. Our adjusted EBITDA for Q2 declined slightly to $1.1 million. The product tanker chartering environment during the second quarter of 2020 experienced unprecedented volatility from an extreme spike during late April to early May due to a surprising increase in demand for storage vessels, which was followed by a rapid rate decent, but our operating results for the second quarter 2020 primarily reflected the stability and contribution from the time charters we had previously entered into during 2019 for our medium-range product tankers as well as continued cost discipline. The average daily TCE for our $14,800 during Q2, as of August 06, 62% of our available days in the third quarter of 2020 are booked with our MRs at average gross rate at $15,125. While we believe the remainder of the year should continue to face difficult chartering conditions we are still positive on the long-term outlook for the product tanker sector and our company. Please turn to slide 4 for information on our fleet and current employment activities. The Pyxis Epsilon recently returned from her first special survey, which included the installation of US Coast Guard approved ballast water treatment system. It is currently employed under short-term charter with charter [absorptions] [ph] in increasing rates over the next nine months. Our small tankers will continue to operate in the spot market until they undertake their second special surveys later this year. Moving forward, we expect to focus on shorter term time charters as well as spot charters especially for smaller tankers. Following up on my earlier comments about the product tanker market, please turn to slide six for an update. COVID-19 has dramatically reduced personal and commercial activities. This past spring it was worldwide and resulted in a huge decline in demand for petroleum products, especially transportation fuels such as diesel, gasoline and jet fuel. A steep contango price environment briefly occurred in April, which resulted in temporary excess demand for floating storage of petroleum products combined with port congestion and arbitrage trading. Starting early May, substantial oil production curtailments by leading producing nations such as Saudi Arabia and Russia and the US were met by the start of gradual recoveries in many major economies. Despite efforts to improve public safety for the prevention of COVID-19 and record-setting government and central bank stimulus programs exceeding $10 trillion the path of global economic recovery has not been smooth. Inventory drawdowns of refined products are resulting in lower demand for seaborne cargoes and a buildup of tonnage in the open market. Consequently, charter rates have fallen significantly, and have recently bottomed. For example, the indicative one year time charter for our eco-efficient MR is approximately $14,500, which is unfortunately close to the 10-year average. Turning to slide seven, overall we expect the second half of 2020 to provide further uncertainty. The global economic recovery should continue to be bumpy as future implications of COVID-19 are yet to be tested. A rebound of global economic growth in 2021 based on the IMF updated forecast for an increase of 5.4%, will be a very welcome scenario. A return of solid consumption and depletion of storage of refined petroleum products as well as modest ton mile expansion from the changing refinery landscape should provide added support to the product tanker sector. Moving to slide eight, the supply outlook for MR2s remain positive. The order book continues to decline and recently a leading industry source estimated the order book at 6.1% out of a worldwide fleet of over 1,760 vessels. While a reasonable number of MRs are scheduled for the delivery in the remainder of 2020, new ordering activity continues to be very low. New advances in ship and engine designs, a broader selection of fuels and the lingering debate surrounding scrubbers complicates the investment decision for owners. A major ship broker recently estimated that new vessel deliveries slipped 27% in the first half of 2020, mainly due to the impact of the COVID-19 virus on shipyard personnel and the supply chain. Demolitions should increase as 6.2% of the global fleet or 110 MRs are 20 years or older and the financial implications of the new environment regulations on older less efficient vessels. Lastly, cost-effective capital continues to be scarce, further limiting new orders. Consequently, we believe net fleet growth for MRs should be around 2% this year. Turning to slide nine, the recent decline in charter rates have negatively affected MR2 asset prices, which are now below 10-year averages, with little [indiscernible], these low evaluations seem to be an overreaction, but nonetheless may lead to attractive opportunities to selectively acquire secondhand tankers at reasonable prices and capture the potential upward movement of charter rates. At this point, I'd like to turn the call over to Henry Williams, our Chief Financial Officer who will discuss our financial results in greater detail.
Henry Williams: Thanks, Eddie, let's start with our unaudit results for the three months ended June 30, 2020 on slide 11. Our time charter equivalent revenues for Q2 '20, which we define as voyage revenues minus voyage related costs and commissions were $4.5 million, a decrease of 17% from the same period in 2019 primarily due to the sale of the Pyxis Delta earlier this year. In Q2 2020, our daily TCE rate fleetwide was almost $11,800 a 2% improvement over the comparable 2019 period. Small tankers continue to negatively affect our results. Turning to slide 12, we incurred a net loss of $1.2 million for the three months ended June 30, 2020 or $0.06 basic and diluted loss per share based upon $21.45 million weighted average shares outstanding compared to a higher net loss of $1.6 million or $0.08 basic and diluted loss per share based on 400,000 fewer shares outstanding. Overall lower cost more than offset the lower revenue contribution from the one MR which was sold. However, adjusted EBITDA declined slightly to $1.1 million for the most recent quarter. Please turn to slide 13 which reviews our recent fleet data by vessel type. Given the size of our fleet, changes in these metrics related to a single vessel and one reporting period can have disproportionate effects on the total fleet operating results. For example, we no longer hold the older MR the Pyxis Delta. Focusing on the quarter ended June of 2020, we would like to point out three key takeaways. The TCE for our two eco-efficient and one eco-mod MR averaged approximately $14,900 per day. The average TCE for our small tankers improved nicely to about $5,450 per day with better utilization in the spot market and fleetwide daily vessel operating expenses were less than $5,500 a day, a 5% improvement over Q2 2019. Turning to slide 14, we believe it's important for total operational cost to run and manage our [audio gap] anchored company, including overhead. These costs vary by fleet composition, vessel deliveries or removal, company operating structure and management. We define total daily operational cost as vessel operating expenses, tactical and commercial management fees plus allocable G&A expenses. In comparison to public peers we believe that the total daily operational cost of our moderate eco-efficient MR2 tankers at less than $8,000 continues to be very competitive despite our small size. Please turn to slide 15 to review our capitalization at June 30, 2020. At quarter close, our consolidated leverage ratio was on par with a number of other publicly traded tanker companies as net funded debt stood at 61% of total capitalization. No balloon principal payments are due for another 2.5 years. Please note that this table does not reflect the $15.25 million loan refinancing of the Pyxis Theta, which was completed in early July. This [audio gap] which provided to us by new lender Alpha Bank and gave us an incremental $4 million in liquidity on similar terms. With that, I would like to turn the call back over to Eddie to conclude the presentation.
Eddie Valentis: Thanks Henry. We expect the second half of 2020 will continue to be challenging with volatile chartering conditions within the context of unpredictable global economic recovery and the uncertain development of the COVID-19 pandemic. We continue to have a positive long-term outlook given the vessel supply and the prospects for improving demand. MRs will continue to be the workhorse within the product tanker sector providing stability of cash flows and solid asset values. We appreciate your interest in Pyxis Tankers and thank you for joining our call today. We look forward to reporting on future product progress at Pyxis Tankers. Be safe, be well.
Operator: That does conclude our conference for today. Thank you for participating. You may disconnect.